Operator: Good afternoon, everyone. Welcome to the Dave & Buster's Entertainment, Inc. Third Quarter 2019 Earnings Conference Call. 
 Today's call is being hosted by Brian Jenkins, Chief Executive Officer. I'd like to remind everyone that this call is being recorded and will be available for replay beginning later today. 
 I would now like to turn the conference over to Mr. Scott Bowman, Chief Financial Officer. Please go ahead with your opening remarks. 
Scott Bowman: Thank you, Cody, and thank you all for joining us. Joining me on today's call are Brian Jenkins, Chief Executive Officer. After comments from Mr. Jenkins and myself, we will be happy to take your questions. This call is being recorded on behalf of Dave & Buster's Entertainment, Inc. and is copyrighted. 
 Before we begin our discussion on the company's results, I'd like to call your attention to the fact that in our remarks and our responses to questions, certain items may be discussed, which are not entirely based on historical fact. Any of these items should be considered forward-looking statements relating to future events within the meaning of the Private Securities Litigation Reform Act of 1995. 
 All such forward-looking statements are subject to risks and uncertainties, which could cause actual results to differ from those anticipated. 
 Information on the various risk factors and uncertainties have been published in our filings with the SEC, which are available on our website at www.daveandbusters.com under the Investor Relations section. 
 In addition, our remarks today will include references to EBITDA, adjusted EBITDA and store operating income before depreciation and amortization, which are financial measures that are not defined under generally accepted accounting principles. Investors should review the reconciliation of these non-GAAP measures to the comparable GAAP results contained in our earnings announcement released this afternoon, which is also available on our website. 
 Now I will turn the call over to Brian. 
Brian Jenkins: Good afternoon, and thank you for joining our call today to discuss third quarter results and our outlook for the business. 
 For the quarter, total revenue increased by 6%, led by continued strong performance from our new stores. While we continue to drive meaningful progress in our business and overall strategy, our comp sales declined 4.1%, in line with the run rate trends we shared on our last earnings call as we continue to see softer comps in our Amusement business and impacts from increased competition across the markets we serve. 
 Now I'd like to turn to our near-term priorities, which we outlined on our Q2  Earnings Call as we remain laser-focused on the execution of these priorities and continue to make progress on many fronts. Although these initiatives will take time to be fully realized, we are encouraged by our progress to date and feel confident the actions we are taking will drive meaningful improvement, value creation and long-term success for the business. 
 Now let me share some specific updates on these priorities. We are progressing well on our first priority of revitalizing our existing stores. We have rolled out our massive 43-Foot Wow Walls LED fixed screens to 35 stores through the end of the third quarter and have rolled out another 13 walls since the end of the quarter, surpassing our initial target of 35. We also completed other upgrades to reenergize our dining areas and to facilitate customer engagement. 
 Wow Walls screens give us the capability to become the premier sports-viewing destination in these markets, and provide a tremendous opportunity to increase guest frequency and food and beverage attachment over time. We are seeing improvement in some of these stores already and know there is more opportunity ahead to fully realize the potential of these great assets. 
 Our next step in this initiative involves the programming of content on these screens to maximize local interest and to generate greater incremental traffic and viewership. For example, in select stores, we are now testing live activities around key sporting events, such as professional and college football, which we expect to build community and drive increased store traffic. 
 Another important component of our revitalization initiative is refreshing our menu and games offering, and we're excited about the opportunities in these areas. This work started with in-depth customer research, which has provided valuable insights to guide our strategic path forward. We know that our guests want new and novel Food and Beverage offerings as well as games that encourage social interaction and fun. 
 For our menu offering, we are evaluating options based on this research, along with input from an industry-leading consulting firm to help inform future changes. As a first step, we will be testing a more accessible food offering in our Arcade, which will feature new snackable menu options in select locations. For our core menu offering, we will continue to evaluate enhancements, including tests of a more simplified 30-item menu and the introduction of several new signature and shareable items. We will update the progress as we move forward. 
 From a games perspective, we are increasingly prioritizing games that encourage social interaction and fun among larger groups of people, including the planned introduction of new multiplayer Arcade games, a test of new multiplayer Virtual Reality platform and the planned testing of physical games in select locations. 
 Through our focus on multiplayer games, we are building a robust social aspect into how we enable our guests to play. 
 Our second priority, building deeper guest engagement, began with the successful launch of our new mobile app in October. Through the end of October --  November, we have recorded over 600,000 guest accounts through our new app and generated over $14 million in amusement revenue from the purchase of digital Power Cards on the app. To put that in perspective for you, we had less than 800,000 active guest accounts prior to the launch of the app. 
 We're extremely excited about the long-term benefits of building our customer database, including the significant revenue we expect to drive from the app over time. In the near term, we will be able to communicate to customers directly, one-on-one, directly through e-mail, text, through push notifications to more effectively reach our guests. Longer term, our learnings from this platform will allow us to be much more targeted, and will be supported by a significantly improved loyalty program to give our guests increased value and incentives to return. 
 Looking forward, we will continue to add functionality to our app to connect more effectively with our guests and reduce friction in our stores. As an example, one of the exciting near-term enhancements we will be introducing Pay-at-the-Table on the app for our guests in the first half of next year. This will be a significant leap forward in reducing friction for our guests and improving efficiency by streamlining the payment process. 
 We also remain focused on our third priority, disciplined cost management. We have reduced costs in several areas and continue to realize operational efficiencies in our stores and corporate office and remain on track to achieve $15 million in annualized savings. As planned, these savings are helping fuel our growth as we are reinvesting dollars into technology, business analytics and marketing, including digital efforts. 
 Turning to our fourth priority. We remain committed to deploying capital for the highest return opportunities. We continue to invest in high-return stores, which we believe is vital in driving top line sales and return on invested capital. 
 Since our last call, we have made significant progress and continue to optimize our store size according to market potential. We are efficiently redesigning our store layouts by reducing the back of house and kitchen areas while optimizing the sports viewing and Arcade areas to provide the best overall guest experience. 
 We believe these initiatives will solidify opportunities for future growth and will allow us to maximize future margins. In fact, we have already revisited 4 previously underwritten stores in our 2021 class and have resized them to maximize margin and return potential, while preserving revenue capacity. 
 As I mentioned last quarter, we will manage the pace of new store growth in order to maximize returns and to enable our teams to focus their efforts on advancing our store revitalization efforts. Although we will not give detailed 2020 guidance until our next Earnings Call, I will tell you that we expect new store unit growth to be slightly lower in 2020 as compared to the 2020 -- 2019 class. 
 As always, we will continue to monitor the situation, ensure we are making the right business decisions and will remain open-minded about the pace of new unit growth in 2021 and beyond. 
 Finally, after funding our new store growth and other high-return projects, our fifth priority is to continue returning capital to shareholders in the form of share repurchases and dividends. Year-to-date, we have returned more than $300 million to shareholders and expect repurchases and dividends will continue to be an important pillar of our capital allocation plans in 2020 and beyond. 
 We will continue to carefully balance our long-term capital needs while maintaining a prudent balance sheet in terms of leverage. 
 Over the past several months, we have dedicated significant time and effort to better understand our customer to help inform and shape our strategy. We believe this work will generate significant benefits and enhance shareholder value going forward. And we're encouraged by early signs, especially in our guest engagement initiative, which is advancing rapidly. 
 As we move forward, we will continue to make sound decisions based on our rigorous test and learn process to help ensure success, as we expand on a larger scale. 
 Additionally, these initiatives will serve as a solid foundation as we further refine our strategic plan through our annual planning process, which will be informed by much of the work that has already been completed or that will be completed in the coming months. We expect to share more details on this plan as a part of our next earnings call. 
 Before I turn the call over to Scott, I'd like to discuss the recent change within our IR department. As many of you know, during the quarter, our Senior Director of Investor Relations, Arvind Bhatia, made the personal decision to pursue another professional opportunity. We would like to thank Arvind for his many contributions to Dave & Buster's and wish him all the best in his future endeavors. We are currently in the process of transitioning Investor Relations services to an outside advisory firm. 
 Now I'll turn the call over to Scott to discuss the quarter's highlights, our financial performance and 2019 updated guidance. 
Scott Bowman: Thank you, Brian, and good afternoon, everyone. I'll begin by spending a few minutes discussing the highlights of the third quarter, followed by our financial performance and then finish with our full year guidance. 
 First, our key achievements in the third quarter. In Amusements [ service ], we launched our fifth proprietary VR title, called Terminator: Guardian of Fate, which quickly established itself as one of the most popular selections on our proprietary VR platform. 
 We also expanded our test of large-format multi-player VR system into 2 additional stores during the quarter. For the fourth quarter, we have already launched a new 6-player Arcade racing game called Hot Wheels: King of the Road, and it is already a top 20 game based on its design and competitive play. This title will be available exclusively at Dave & Buster's through the end of the calendar year. 
 Finally, in keeping with the objective of delivering more competitive group games, we're in the process of rolling out a fully modern take on the classic game of Pong called Pong Knockout. This is a competitive multiplayer game that utilizes mechanical elements in place of early CRT technology to deliver a title that is both nostalgic and up to the moment. 
 Our Amusements team has great confidence about product planned for 2020, and we look forward to communicating future launches. 
 Within Food and Beverage, 2 of our recent offerings, the grilled chicken avocado ranch sandwich and drunken New York strip, have quickly moved to the top of the category. 
 In addition, 2 items from our summertime limited-time-only offerings, the Jamaican Mai Tai and Hurricane, have now earned their way onto the beverage menu on a permanent basis. We know that our customers continue to expect new and novel Food and Beverage offerings, and we'll continue to enhance and innovate our menu.
 In terms of our third quarter marketing campaigns, we launched our Unlimited Wings and $10 Power Card promotions on Sundays, Mondays and Thursdays to establish Dave & Buster's as the place to watch pro football.
 In October, we also launched a new mobile app, which included a promotion for customers to download the app. In the 2 months, the app has resulted in $14 million of revenue and has been instrumental in growing our customer database. 
 We're also testing other new offers in the app to optimize profitability and redemption. And so far, we're seeing a great response. 
 Going forward, we'll continue to test new promotions to bring value to our guests, leveraging technology and personalized messaging to improve engagement. 
 With respect to new stores, we opened 4 new locations in the quarter and have opened one additional store since quarter end. This brings our total to 15 new stores for the year. And we expect to open one additional store in the fourth quarter for a total of 16 new locations for the full year. These store openings for the year are skewed towards large-format stores and are split between new and existing markets. 
 Looking ahead, we continue to see significant opportunity and have a strong pipeline of available market to continue to grow our store base. We'll continue to evaluate these available markets and ensure that our store size matches the market opportunity. We've made significant progress on our efforts to make our new store layouts more efficient, which will help preserve our strong returns. By the end of the year, we plan to have 136 locations and continue to believe a long-term opportunity with 230 to 250 locations in the U.S. and Canada. 
 And now let me turn to our financial highlights. 
 During the third quarter, total revenues increased 6%, driven by strong contribution from our 35 noncomparable stores. This was partially offset by a 4.1% decrease in our comparable stores, which was consistent with our run rate at the time of our last earnings call and improved slightly as the quarter progressed. 
 As we communicated on our last earnings call, we experienced weakness in Amusement, mainly due to the rollover of last year's VR launch. This trend improved slightly towards the end of the quarter, but remained a headwind. In addition, weather had an unfavorable impact of approximately 120 basis points on comp and competitive intrusion and cannibalization continued to be a headwind. Looking at overall sales by category, Amusements and Other grew 7%, and Food and Beverage grew 4.9%. Amusement and Other represented 58% of total revenues during the quarter, an increase of 50 basis points in mix from the prior year period. 
 Breaking down comp sales. Our walk-in sales declined 4.6%, while special events were up slightly. In terms of category comp sales, Amusements and Other declined 3.9%, while Food and Beverage declined 4.4%. Within Food and Beverage, food declined 4.9% and the bar business declined 3.6%.  Total cost of sales was $52.2 million in the quarter and increased 10 basis points as a percent of sales. This was mainly due to an increase in Food and Beverage, while Amusement cost was flat as a percent of sales. Food and Beverage cost was [ 60 ] basis points unfavorable as a percent of sales, mainly driven by the impact of our Unlimited Wings promotion and costs related to our shift to fresh juices within our bar offering. This decline was partially offset by the positive impact of 1.7% in food pricing and 1.9% in beverage pricing. 
 Cost of Amusement and Other as a percent of sales was flat compared to last year driven by the positive impact of 1.9% in pricing and a shift to simulation games, offset by higher costs associated with the new RFID Power Card. Operating payroll and benefits expense as a percent of sales was 25.4% or 10 basis points higher year-over-year due to the unfavorable impact of approximately 4% wage inflation, deleverage on comp stores and the impact of noncomp stores. 
 Other store operating expenses were up 300 basis points year-over-year. Higher occupancy costs were driven by high rent cost associated with lease renewals and higher marketing costs were driven primarily by additional television and digital marketing to drive traffic and to promote our mobile app initiative. 
 G&A expenses of $16.2 million were up 8% from the prior year, reflecting increases to support our growing store base and increase in legal costs and higher consulting expenses. These costs were partially offset by tighter expense controls and reduction in employment compensation expense. As a percent of sales, G&A increased 8 basis points. 
 EBITDA decreased 13.5% to $40 million and was 13.3% of sales, while diluted EPS was $0.02 per share versus $0.30 per share in the prior year. EBITDA was negatively impacted during the quarter by charges totaling $3.3 million related to ongoing litigation and corporate restructuring costs, which translated into a negative effect of $2.6 million on net income or $0.08 per diluted share. Additionally, in last year's third quarter, EBITDA benefited from a $2.3 million insurance recovery related to our Puerto Rico store, which translated into a benefit of $1.4 million on net income or $0.03 per diluted share. Excluding the effects of these discrete items from both quarters, EBITDA declined 1.4% to $43.2 million from $43.8 million. 
 Shifting to the balance sheet. We had approximately $656 million of outstanding debt at quarter end, resulting in leverage of approximately 2.3x EBITDA, which is within our targeted leverage range of 2.0x to 2.5x EBITDA. 
 We repurchased approximately 2.4 million shares in the third quarter for $97 million and had approximately $173 million remaining under the existing authorization at the end of the quarter. Additionally, we declared our fifth quarterly cash dividend of $0.16 per share during the quarter, which represented a 7% increase over the prior quarter. 
 Turning now to guidance. Based on recent trends, we are narrowing our fiscal year 2019 guidance as follows: Total revenues are expected to be in the range of $1.347 billion to $1.354 billion. This compares to prior guidance of $1.338 billion to $1.359 billion, reflecting growth of 6% to 7% versus the prior year. 
 We now expect full year comps to be in the range of negative 3% to negative 2.5%. This compares to previous guidance of negative 3.5% to negative 2%. 
 We are projecting net income to be in the range of $94 million to $98 million versus prior guidance of $91 million to $100 million. Guidance is based on an effective tax rate of 21.5% to 22% versus prior guidance of 22% to 22.5%. 
 Finally, EBITDA is expected to be in the range of $275 million to $280 million versus prior guidance of $272 million to $282 million. 
 Thank you for your interest in Dave & Buster's. Now I will turn the call back over to Brian. 
Brian Jenkins: Well, thank you, Scott. I'm confident we are on the right track to capitalize on our leadership position in a rapidly growing and highly competitive market. 
 Just as we've done over the past 37 years, we will continue to succeed by investing in innovations that enable us to deliver unmatched entertainment, engagement and satisfaction for our guests. 2020 is setting up to be a year of exciting changes and new experiences for our customers, and our team is energized by the potential we see in our business. 
 I'd like to close by thanking the entire Dave & Buster's team for their focus and hard work as they strive to delight our guests every day. 
 As always, we appreciate our shareholders for your continued support and interest in Dave & Buster's. Now we would be happy to answer your questions. Cody, please open the lines for Q&A. 
Operator: [Operator Instructions] We'll take our first question from Andy Barish with Jefferies. 
Andrew Barish: Just a couple of things. First, on the content, how do you see VR after kind of 1.5 years now looking forward to 2020, is going to continue to be sort of new titles or kind of harvesting a little bit of what you have? And how do you think it's performed in terms of driving incremental customer visits? 
Brian Jenkins: Well, as we said in the call, part of our pressure in the back half of this year has been the rollover of VR. So as an overall contributor to the business, it's not as powerful as it was when we first launched the platform. But we still like the platform. It does allow us to introduce proprietary content. And so it is still in the mix of our plans as we head into 2020. Andy, we'll have -- likely, we'll have 2 titles that we'll launch next year. And so I don't think you'll see us rolling out 3 a year on that platform. In fact, we're looking at 2 alternate platforms right now, have 2 in test that are a different form factor. So we are looking to widen the net a little bit. And so we're not going to be just solely focused on the current platform we have. 
Andrew Barish: Okay. And then just secondly, on labor in the quarter, really kind of kept that in line and flattish. Is there anything sort of idiosyncratic to the quarter as you started looking at some of the cost-cutting or anything we should be aware of for the 3Q, especially given it's kind of a seasonally low quarter, where you did hold the line pretty well on that expense, considering the comp? 
Brian Jenkins: Well, as we indicated on last quarter call, we did implement some cost reductions in the prior quarter. And some of that was focused around off-peak labor as well as some centralization in our special event sponsors. So yes, we were successful in accomplishing that. And as we mentioned, our -- in our hourly labor was actually just up slightly -- was actually slightly better on a quarter -- year-over-year despite comp pressure. And overall, labor was just slightly worse. And that's with some onetime charges related to that restructuring. So the team just really did a fantastic job in implementing those cost reduction initiatives and the same time, our guest pulse, guest sat scores really stayed right in line with the prior year. So it was a good outcome overall. 
Operator: We'll now move on to the next question from Nicole Miller with Piper Jaffray. 
Nicole Regan: Two questions. The first is around the prepared commentary talking about the sports as an opportunity. And it kind of sounds like you're taking what you had remodeled previously, kind of revitalizing it. And I was wondering if that's the way to think about it? In essence, what are you activating? So are you activating the consumer discovering you or are you discovering a new or lapsed consumer or something else altogether? 
Brian Jenkins: Thank you, Nicole. Well, just to clarify a little bit, we're -- it's not necessarily that we're activating the old sports area. We invested in a new sports area, took some of our dining room, Nicole, and put in these 43-foot LED screens. So we're introducing that new technology, new energy into our dining rooms, really just being in our position as one of the best and innovative sports viewing destinations in this country. So what we are now working on is programming around that asset. They're great assets. So we're looking at some programming around that. Specifically, right now we have in test in a couple of stores live hosted events with local radio celebrities as well as some in-venue sport celebrities. So we'll see how that goes. But we are looking to leverage these -- this asset in a broader way than we have in the past. 
Nicole Regan: That's -- maybe -- and if I'm not still getting it right, I'll just apologize if we can move on, but it's supplementing the work that you had been recently done and then activating essentially programming, again, my words not yours. But what did you learn from the previous remodel of, let's call it, the failures area, sorry, very generally, that's leading you to the conclusion of taking another chunk to use it for this kind of similar purpose? 
Brian Jenkins: Well, in our view, if you date back to some of the revitalization efforts that we underwent back in earlier in the decade, we viewed the sports offering as a very strong -- a big component of that effort. While we were changing the physical plan, look and feel to be a little more modern, contemporary, we were also adding the loss element. And we recognized that our -- currently our dining rooms are the least visited space in our 4 walls. And what we were seeking to do is bring in a new asset into that area, bring energy to the space, how to be a location in the store that guests would want to go visit and really in an effort to drive F&B attachment rate and not have it be the location that is the least desired location in our stores. So I think this will -- and we saw good success with that in our Dallas store as we made that improvement there. And I think it will take time to build, but we're very encouraged by this asset and what we're going to be able to do with it over time. 
Nicole Regan: Okay. That's very helpful. And just a second and last question. About the snackable options in the Arcade or Midway, is there going to be an ordering platform attached to that? Is there any technology, do you have to order from the restaurant area? Could this eventually become enabled in the app in any way? Anything along those lines possible? 
Brian Jenkins: The first locations, where we are standing up this idea of a food cart with snackables, it'll be roughly 5 things that you can purchase along with beer selection as well as the signature drink from this location within the Arcade. You will be ordering it from a person. So there won't be technology involved other than normal POS at this stage. 
Operator: We hear now from Jake Bartlett with SunTrust. 
Jake Bartlett: Brian, you mentioned that Terminator -- or maybe it was Scott, that Terminator has mixed very high or has been a popular VR platform. Also the Wow Walls, you're rolling those out to additional stores. And you exited the quarter, it seemed like results were improving. Would you give any commentary on the current trends and whether that improvement has continued kind of like you had last quarter? 
Brian Jenkins: Well, we -- obviously, we are excited about how quickly we were able to scale the Wow Wall improvement that we've set about to accomplish over the course of the quarter. We met our goal of 35 and pushed onto a few more units. Again, very, very early on in that initiative in terms of how we, again, build community around that asset. But -- and Terminator has risen to the second most popular title, with Jurassic World is still number one, very strong IP in Jurassic World, but --  so both of those really kind of late in the quarter. The assets in the Wow Walls over the course of the quarter, Terminator late in the quarter. As we sit here today, we're essentially, in terms of cost performance, we're essentially in line with the way we ended our Q3 results at around down 4%. So we're tracking right, consistent with our guidance here. And we have some very big weeks in front of us with our holiday season, which we're very excited about, biggest weeks in the year, are in front of us, and we're -- we believe we're shaping up to have a good Christmas season here. 
Jake Bartlett: Got it. And with the Terminator fairly recently launched, I mean, is that -- we would still have some staying power throughout the holiday season. And I guess, is my question is you lapped Dragonfrost, which I don't think mixed very high. But just how do you view your current content in the holiday season versus last year's, for instance? 
Brian Jenkins: Well, yes, I think Dragonfrost -- Terminator is more successful than Dragonfrost was in the prior year, in my view. So and we're not actually featuring that in a big way on our media at this moment. So I'm not sure I would call it a push as I think about the quarter. 
Jake Bartlett: And last question just on the content. For 2020, you mentioned 2 more VR names. It sounds like some of these multiplayer platforms are in test or would you describe them as maybe beyond test and -- platforms that could really have a meaningful impact in 2020? Just trying to understand what -- how confident you are on the content for 2020? 
Brian Jenkins: Well, the 2 VR attractions that we have in test right now, we actually tested both of them in 2019. And they are in 4 stores right now. We've seen some great potential with actually both of these platforms. They are both multiplayer attractions. They're both -- lend themselves to socialization, competition and collaboration, things that we're looking to try to scale up in terms of our mix of entertainment offerings, both very high energy. So we're -- we haven't made a final call on how many we're going to do. It's highly likely that we'll do some of the -- either or both of these attractions in 2020. We haven't made a final determination. Very unlikely that we would scale it across the entire chain. They're big format, one of them in particular is very big format, high profile game, takes a pretty big amount of space in our Arcade. It's also very impactful looking. So we'll make that determination here in the first part of the year on how far we're going to -- and we'll steer that, a little more broadly on that in the next call. 
Scott Bowman: Jake, this is Scott. I'll just kind of tag onto that. So the 2 that I mentioned, the Hot Wheels game, that's going really well out of the gate. And it has just been rolled out. And then the Pong game, which I will admit, I do remember the original, that's a different game, but multiplayer as well. But then just talking with the Amusements team, I mean, they've been to the shows and conferences. And they've -- they're probably more excited than they have been in a little while, just on the opportunity out there and the new games that are coming out. So it does seem like there's more content available out there. And we do have quite a few things in the hopper for next year that we're pretty excited about, but we think we'll have a pretty solid lineup as we get into next year. 
Brian Jenkins: Jake, and then -- just to tag onto that a little bit. We will be focusing on multiplayer games, largely. Although -- there may be some single-player games, we'll be heavily focused as we look at the games that are available out there on prioritizing those games where multiple players can play. 
Jake Bartlett: Great. Great. And Scott, last question. The prior guidance had included, I think, $2 million in onetime charges. Are those no longer contemplated? Or how should we think about it? 
Scott Bowman: Yes. So this $2 million in onetime charges, that was an estimate at that time of what we thought that we would see. What I would say is that we feel like we've taken most of those charges at this point. And so we feel like the charge that we took in the quarter were based on kind of getting past most of the restructuring that we went through. 
Operator: We'll hear now from Jeff Farmer with Gordon Haskett . 
Jeffrey Farmer: Great. A bigger picture question to start. So I'm just curious how your strategy has evolved to combat a lot of this competitive encroachment you've seen over the last several years? Are you doing anything differently in the markets that have been most impacted by encroachment? 
Brian Jenkins: Well, Jeff, we're really focused on overarching strategy refresh right now for the entire brand. We're -- as I said before, we're not going to stop the onslaught of investment coming into the space, the competitive entrants that are building in and around us. What we are focused on is our strategy and what we're doing, and we're taking a comprehensive look at the business right now, in partnership with Jackman Reinvents, who really helped us revitalize the brand and earlier in the decade, we have gone through a fairly comprehensive amount of work around in-depth customer research, really trying to understand our core consumer and the attitudes that really drive the behaviors. And obviously, what we're trying to drive is more guests coming through the door and more frequently. So that's really informing our strategy as we think about what we're trying to accomplish from a food perspective. That is giving rise to some of these test and learn pilots that we're putting in place with a huge sense of urgency right now, which, on the food front is around refreshing the menu with some of those preferences, this notion of signature shareable items. We have menu change that we're currently putting in test around that, the snackable, accessible idea that I mentioned earlier. So we're attacking that right now, from a games perspective, we know our guests are really, really looking for social games. So that is why we are emphasizing multiplayer games right now, and have been for a little while, but we are amping that up. That is why we are testing a physical game opportunity in our stores. And when I say physical games, I'm really talking about large-format giant Jenga, Twister, shuffleboard, corn hole, some of those games, and bringing that into a space to allow for our guests to socialize together with friends and family. So -- and then it is also -- this work is informing the look and feel of our stores from store revitalization program. We -- there are a number of ideas we have around store layout, number one in maximizing our Wow Wall right now and creating some spaces that are more conducive for social interaction. If you think about our Arcade today, you're out, you play and often, you're doing it alone. So we're really looking at trying to have our food, bev and entertainment options collide, so we can increase our penetration across the brand. So we're working with urgency across the entire brand to activate these plans right now. 
Jeffrey Farmer: That's helpful. And just a follow-up on that in terms of that work with Jackman and the revitalization programs you've pursued in the past. Can you just remind us what type of capital commitment did those programs require? And I realize that with the Wow Walls, you've already put some capital to work. But in terms of -- theoretically what could lay ahead or lie ahead in terms of future capital commitment if Jackman decides to do something a little bit more aggressive? 
Brian Jenkins: Well, first, I want to clarify. What we move forward with is what the company is going to move forward with in terms of what we feel like is strategically correct. The Jackson team is a great partner for us to help us amplify some of the ideas that we have. So fundamentally, these would be our calls on what we decide to do based off some rigorous test and learn that we are enacting and putting in place right now. The prior activity and revitalization effort, we were spending in the neighborhood of about $2.5 million a store. But in that case, we were touching a lot of element of our stores. We called it door to bar and we were touching the outside. So we don't expect the scope of this to be in that same zip code. 
Jeffrey Farmer: Okay. And just last one will be more brief. But outside of unit development, I think you guys largely withheld your first look at FY '20 guidance with tonight's release. I think, historically, you've provided some revenue growth and EBITDA growth numbers. But focusing on that, from a structural standpoint, are there any factors in play that would either lead to another year of EBITDA margin contraction or allow you to sort of break this run of EBITDA margin contraction as you move into FY '20? 
Brian Jenkins: Yes, that's a good question, Jeff. And a lot of what we're talking about today is really focused on getting comp store sales going in the right direction and investing in high-return stores. And if we focus on those 2 things and we have solid initiatives behind both of those, especially the comp store piece, we feel like that's the best path to EBITDA margin expansion. And so that's what we're really getting behind. 
Operator: We'll take our next question from Andrew Strelzik with BMO Capital Markets. 
Daniel Salmon: This is actually Dan on for Andrew. So I think you touched on this a little, but just wondering if you can maybe give us any additional insights on what sorts of data you're collecting through the app? And it sounds like you're already doing some of this already, but I'm just kind of curious what you think the timeline will be to sort of fully leveraging that data for things like more targeted advertising, loyalty offers and any other strategic initiatives over time? 
Brian Jenkins: Good question, Dan. We're super excited, very, very optimistic about our mobile app. This really has given us a filter to bring in first-party data in a way that we've never had in the history of this brand. So very successful launch, the national launch in October. I think you heard in our prepared remarks, we've gained about over 600,000 new guest accounts. And when I say guest accounts, that means we have an e-mail address and a phone number, and that compared to about 800,000 active guest accounts that we had previously. And when I say active, that means they either came into the store and purchased and/or played a game. So significant movement in 2 short months. So very, very encouraged by that. We have seen higher per cap spend by the guests that download the app and buy. We have seen better frequency. We're measuring frequency of visit for our app users relative to the other control base. And we've seen more recharge activity. As you may recall, one of the capabilities of the app is to do a quick recharge on your phone without having to go to a person or a server or a kiosk. So and we're now -- while we're still trying to get guest acquisition onto the platform, and we'll continue to really drive that, build a bigger database, we are rapidly pivoting in and using that database to reach our guests in a more targeted relevant manner. So we have been doing -- beginning to do e-mail contacts that are different depending on the guest behaviors. In other words, if the guest is low on their chips and hasn't been in for a while, then we might flip them an offer. If I guest has a lot of chips still on their card and haven't been in and we're just -- we encourage a revisit. So that's an area that we are really trying to develop and build out right now. And as you may remember from the last call. That is also an area where we're reinvesting some of these cost savings in terms of the team and technology and tools to allow us to really capitalize on what -- this database is very exciting for us right now. 
Daniel Salmon: Great. That's really helpful. And then maybe just kind of building off that, you kind of touched on adding additional functionalities to the app as you kind of move along with it over time. Obviously, Pay-at-the-Table, it sounds like something that's going to be obviously very beneficial. But are there any other specific functionalities that you guys have kind of maybe targeted as maybe longer-term additions to the app? Just wondering if there's anything incremental there? 
Brian Jenkins: Yes. We actually have a number of capabilities that are in the pipeline, and we're looking to build out over time on the app. One I really want to mention right now is the one that's nearest term, which is Pay-at-the-Table capability of the app because that is close-in right now. But yes, we have a number of other things that we're looking to features -- we're looking to that -- add of the app over time to make it even more relevant for the guests and drive engagement even in a better way. 
Scott Bowman: Yes. I think the important thing to take away is just that when we designed the app and the team put all their thoughts together, I mean, it was long-term in nature. And so the platform that we chose definitely had a longer-term road map in mind. And so we can continue to make enhancements and increase the functionality over time. So that's a big piece of it. So as our customer database grows, and we continue to add more functionality on the app, we should see better returns from it, but it definitely has the platform to do that. And we have a pretty robust road map ahead of us. 
Operator: We'll take our next question Stephen Anderson with Maxim Group. . 
Stephen Anderson: Just want to reference something you mentioned on the call about the easier comparisons year-over-year. I think, it was on the things on the food side of the business. But are you -- have you seen it also on the Amusement side of the business, where you saw a progressively better comps as the quarter -- progressed? And you mentioned weather as well, wanted to see if you can get any kind of hurricane impact from Hurricane Dorian out of that? 
Scott Bowman: Yes, sure. So on the F&B side, as you kind of look at the quarter and even looking forward, we had some benefit in the quarter because we had our Wings promotion for a period of time on Sundays, Mondays and Thursdays, which we did not have in the prior quarter, at the very tail end of the quarter we had a few days of it but for the most part, Q3 we were rolling over no Wings promotion on those 3 days in the prior year. So we did get some benefit. I think as you look into Q4, we did -- we'll have more of a like-for-like promotion on the Wings. And so that will make a little bit tougher compares for F&B. If you flip that around on the Amusement side, yes, we started to see some improvement, especially at the end of the quarter. And so that's encouraging. So as we get into the fourth quarter, we're thinking that, that will continue somewhat. And we have some concrete reasons of why that is and it's -- a lot of it is what we've been talking about with the mobile app and just gaining more awareness. And so that's pretty exciting. So that will be continuing into fourth quarter, we think. We do have some tougher comparison in fourth quarter. So we're also taking that into account. 
Operator: We'll take our next question from Chris O’Cull with Stifel. 
Alec Estrada: This is actually Alec on for Chris. Just curious, what's been the average sales lift at locations with Wow Walls? Are you seeing any common factors among the locations that are maybe doing better than others? 
Brian Jenkins: First of all, it's really early on. We built these over the course of the quarter. Feedback from the stores has been really fantastic. We have some stores that are performing really, really well. And Boston happens to be one of them. It makes some sense because they have newer one. 
 But it's early. But  as a class, they're slightly better [indiscernible] controls is what I'd say right now. So not knock it out of the park yet, but we're encouraged with what we're going to be able to do with this asset. 
Alec Estrada: Okay. Great. Second question is just -- you've called out weak late night, daypart sales in the past. Is this still the case? And do you believe that has anything to do with customers kind of staying in and ordering third party delivery or do you view that as a risk to the daypart for the company at all? 
Brian Jenkins: Well, two questions in there. Just in terms of our daypart, our weakest daypart continues to be late night, really. And that's been a continuation for really -- probably 2 to 3 years now. I don't know that I attribute our comp sales pressures to out-of-home ordering or delivery ordering. I -- right now, we attribute much more to competitive intrusion, where we can actually see markets where we're performing very, very well, strong [indiscernible] stores that perform well. And then we have impact of a competitive intrusion event. So I don't attribute our bigger pressure being delivery. We're -- we're an entertainment event, primarily. People visit us for our entertainment offering, our game offering. That's first and foremost. Obviously, we'd like to get more of the food occasion. But -- so -- I don't think that's part of it, like delivery is not, not, not particularly significant. 
Alec Estrada: Okay, great. And just last one, speaking of the competitive intrusion, it looks like a lot of competitors are willing to kind of accept lower margins to offer more value than the largest player in the segment right now. Do you think that eventually, that dynamic will make it kind of difficult to recover margin even with improving same-store sales performance? Or do you believe it's just a matter of increasing those sales. 
Brian Jenkins: Well, I don't -- our checks on what our competitors are offering in terms of pricing comparative to us, I don't view us as being out of bounds with our competitors. So my view -- they may not look very good from a margin perspective, but I think that's a lot more due to the operating model, meaning a lot of the competitors have a broader offering with a lot of attended attractions, which put a lot of pressure on their margin profile. So -- and that's why we're very careful about when we make a decision to add an attraction that requires an attendant or something like that. We want to make sure that it feels very incremental, and it's going to be a traffic driver for our brand before we actually lean into it. 
Operator: [Operator Instructions] We'll hear now from Brian Vaccaro with Raymond James. 
Brian  Vaccaro: Just wanted to circle back on the Wow Walls. And can we hear what's the average cost of the Wow Wall? And was that the primary reason for the increase in CapEx guidance for the year? 
Brian Jenkins: I'll take the first, and then I'll hand it over to Scott on the second. I said on the last call, I really didn't want to disclose the Wow Walls investment amount for sure. We have a couple of providers that are supplying that equipment right now. And I think we've been successful in getting some very attractive purchase price as we've installed those. So for competitive reasons that I don't really care to provide the exact number on that. 
Scott Bowman: Yes, when you look at overall CapEx, the increase in the guide, the Wow Walls, really were a big portion of that. But we also had a couple of other things just from a timing perspective relating to the land purchase for one of the future stores, kind of moved up into this year. And then we had a sale-leaseback transaction that will get pushed into early next year. So there are a couple of other pieces to that equation. 
Brian  Vaccaro: Okay. And I think you said 35 units that you've completed the Wow Wall in with 14 more planned for '19. Has the decision made to be yet to roll it further into 2020? 
Brian Jenkins: Well, just to clarify, Brian, we -- I'll -- hats off to our Development team and really Purchasing team, who were able to scale 35 units over the course of our third quarter. And what I said is we've actually done another 13 over the course -- so far, over the course of Q4. And we have 3 more on tap. So that would take us to 51 units. And we -- obviously, we picked some of the stores that were -- they can accommodate this kind of asset. And at this point, we scaled it to the level that we're going -- we're going through for a period of time. And we're going to we're going to look -- we're going to turn our attention to leveraging that asset. That's what our plans are at the moment. 
Brian  Vaccaro: All right. Understood. And then, Scott, on the $3.3 million charge that you highlighted in the third quarter, could you map that between the different line items? How much in G&A? How much in labor? How much in other OpEx, if it was mapped those 3 lines? 
Scott Bowman: The bulk of it will be other store operating expense and the -- that will be most of it. And then a small portion of it, maybe about 1/3 of that, will fall into operating payroll and benefits and G&A. 
Brian Jenkins: Yes. So without the kind of restructuring charge that we incurred in operating, labor and benefits at the store level. We would have actually been slightly favorable year-over-year as a percent of sales. 
Scott Bowman: Yes, about 2/3 of it will fall into other store operating. 
Operator: That does conclude today's question-and-answer session. I'd like to turn the conference back over to management for any additional or closing remarks. 
Brian Jenkins: Well, thank you very much for your time this afternoon, and we look forward to reviewing our fourth quarter results in April. 
 We also wish everyone a safe and a happy holiday season and look forward to seeing you at one of our many D&B locations very soon. Have a great night. 
Operator: Thank you. That does conclude today's conference. Thank you all for your participation, and you may now disconnect.